Operator: Thank you for standing by. This is the conference operator. Welcome to the Cryoport Inc. Year-End 2020 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Todd Fromer, Managing Partner of KCSA. Please go ahead.
Todd Fromer: Thank you, operator. Before we begin today, I would like to remind everyone that this conference call contains certain forward-looking statements. All statements that address our operating performance, events or developments that we expect or anticipate occurring in the future are forward-looking statements. These forward-looking statements are based on management's beliefs and assumptions and not on information currently available to our management team. Our management team believes these forward-looking statements are reasonable as and when made. However, you should not place undue reliance on any such forward-looking statements because such statements speak only as of the date when made. We do not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, or future events, or otherwise, except as required by law. In addition, forward-looking statements are subject to certain risks and uncertainties that could cause actual results, events and developments to differ materially from our historical experience and our present expectations or projections. These risks and uncertainties include, but are not limited to, those described in Item 1A, Risk Factors, and elsewhere in our annual report on Form 10-K filed with the Securities and Exchange Commission and those described from time to time in other reports, which we file with the Securities and Exchange Commission. It is now my pleasure to turn the call over to Mr. Jerrell Shelton, Chief Executive Officer of Cryoport. Jerry, the floor is yours.
Jerrell Shelton: Thank you, Todd. Good afternoon, ladies and gentlemen. We appreciate you joining our earnings call today. With me this afternoon is our Chief Financial Officer, Mr. Robert Stefanovich; and our Chief Scientific Officer, Dr. Mark Sawicki; and our Vice President of Corporate Development and Investor Relations, Thomas Heinzen. As a reminder, we have uploaded our 2020 year-end review document to our website. It can be found under the Investor Relations section in the Events and Presentations section. This document provides a review of our recent financial and operational performance and general business outlook. If you have not had a chance to read it, I would encourage you to go to the website and download it. As we previous quarters, on this conference call, we will provide you with a brief general update and then we will move to addressing your questions regarding our company's results. 2020 was a historic year for Cryoport, culminating in a transformational fourth quarter, during which we continue to effectively execute our strategy and significantly strengthened our global platform by closing on two milestone acquisitions. These strategic acquisitions provide our client base with the ability to leverage our ever-expanding supply chain continuum, as we extend the breadth of their relationship with Cryoport, whom they have grown to trust with their irreplaceable core gene therapies and materials. But that is not all of it happened. Let me set the stage by a brief review of some of our accomplishments during the year. The following points. We've raised a total of $390 million, through a $115 million convertible debt financing and by issuing a $275 million convertible preferred to Blackstone Group to support the acquisitions of CRYOPDP and MVE Biological Solutions, as well as further build out of our competencies. We acquired CRYOPDP established a foundational network of logistics centers in EMEA and APAC. We acquired MVE Biological Solutions, the number one producer of cryogenic, systems worldwide, further establishing Cryoport as the number one end-to-end provider of temperature-controlled supply chain solutions for the life sciences industry. With the two acquisitions, we have expanded our global presence to 30 locations located in 13 countries. Our network gives us a new advantage when serving global multinational customers and also provides redundancies and backup that reduces supply chain risk for our customers. We initiated the build out of two additional fully integrated power services and logistics centers, both of which will be online in 2021. We opened our first fully operational jointly operated logistics center for Cryoport Systems and CRYOPDP in Osaka, Japan. We renewed and extended our commercial relationships with Novartis and Gilead. The number of cell and gene therapies we support grew to six, including the global launch of BMS's BREYANZI. On the R&D front, the highlight of 2020 was the expansion of our Cryoport. Certified. Cool. line of shippers and solutions to support all temperature ranges from minus 80 to control room temperature, including the Cryoport Elite shipper and advance proprietary and scientifically designed ultra coal shipper and our revolutionary and patent pending crowds for your shipper expected to be launched during the second half of 2021. We ended with cash and cash equivalents and short-term investments of $93.3 million. And in January 2021, we completed an underwritten public offering led by Morgan Stanley, Jefferies, Leerink and UBS raising net proceeds of $270 million. As a result of these strategic milestones, Cryoport is now positioned to further leverage our global platform with a family of companies that provide mutually reinforcing global market leading temperature-controlled supply chain solutions for the Life sciences. Our financial results reflected the strong performance and our continued momentum in these markets we serve, especially in cell and gene therapy. Total revenue for the fourth quarter of 2020, increased to $48.4 million, compared to $9.2 million for the fourth quarter of 2019, a year-over-year gain of 423% with organic growth of 36%. The total revenue for the full year 2020 increased to $78.7 million, compared to $33.3 million for the full year 2019, a year-over-year gain of 132% with organic growth of 26%. In summary, Cryoport delivered [indiscernible]. We surpassed our business and financial goals for 2020, despite the challenges of the environment, due to COVID-19, staying true to our course of creating leading new markets through technology innovation. We focused on differentiated solutions, services and products suited to the complexities and pressures of the life sciences temperature-controlled supply chain challenges. And with that, I'd like to turn this call over to the operator to open the lines for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Puneet Souda with SVB Leerink. Please go ahead.
Puneet Souda: Yes. Hi, Jerry and Robert. Thanks for the question. So first one is, could you elaborate on MVE, if there was a step down sequentially from the third quarter and the fourth quarter, it just wasn't clear in the release? And then can you elaborate on the COVID contribution from any backfill [ph] during the quarter as well?
Jerrell Shelton: Yes, Puneet. Actually there was a step up in the fourth quarter for MVEs. MVE met our expectations, and is doing very well, and we'll continue to do so. We have a nice backlog and the transition has been very smooth. In terms of contribution from COVID, we - as you know we support about 16, is it 16?
Robert Stefanovich: 29.
Jerrell Shelton: It's 29. 29 clinical trials related to COVID. Some of those are therapies and some of them are cures. And we do some re-icing or replenishment for coolness and in some parts of the world. But we don't play a main role in COVID, we are a Cell and Gene Therapy company and we've stayed focused on that competency.
Puneet Souda: So just following up on that. I mean, should we not expect any COVID contribution for the entire year, despite you being involved in a number of trials and therapeutics here?
Jerrell Shelton: It will be minimal. It will be minimal, Puneet, it won't be anything major for sure.
Puneet Souda: Okay. And this question is maybe for just Robert, as well as in terms of, I know you haven't traditionally provided guide, but at this point in time, we - the business is fairly large with MVE and CRYOPDP total revenue. So if you could maybe just help us elaborate - help us understand, if the combined MVE and CRYOPDP are separately, should they be growing at least 10% or higher? And wondering, if you are comfortable with the consensus, which is very close to about $200 million for the full year. Is that something that we could expect going forward for the full year?
Robert Stefanovich: Yes, I think - yes, thanks, Puneet. I think we've talked about it in the past, a little bit in terms of the revenue synergies and the growth potential for MVE Biological Solutions and then also CRYOPDP. And CRYOPDP in specific with the synergies created together with Cryoport Systems. So I think in general terms of analysts' expectations for the year, where we're comfortable with analysts' expectations, in terms of the growth and the change in growth rate, from the historic growth rates that obviously will happen over time. So you'll see on the actions that we're taking bear fruit throughout the year to change the profile that they've historically had. And a big driver of that is, obviously the Cell and Gene Therapy space and then some of the synergies that we've already identified. In terms of giving guidance, something that we do discuss on a regular basis. At this point in time, we're not giving guidance and the real reason around that is because of the dynamics in the Regenerative Medicine space and Cell and Gene Therapy space that continues to be our core focus. And this market is at the very early stages of growth. But we'll certainly revisit that over time as the market grows and matures to see what type of guidance we'll give going forward.
Puneet Souda: Okay. And just clarifying the first question, Robert, that I had in MVE, there is a step down in gross margin. So I just wanted to find out, it was that largely step down in gross margin in the corporate gross margins? Is that largely due to MVE? And was there step down or a step-up actually from third quarter to fourth quarter sequentially for MVE?
Robert Stefanovich: I think if you look at MVE and CRYOPDP their margin profiles are different. If you look at the legacy business, legacy business has been performing on par with the past. And then you have the margin profiles of CRYOPDP, which is lower and MVE, which is slightly lower drive revenue - drive the margin for Q4 down. Again that's another area that, that we believe we can achieve higher margins, specifically, because if you look at for example, CRYOPDP, that is now moving into the Cell and Gene Therapy space, which is higher value kind of high quality and touch solution. There is opportunities for margin increase in the service offering that CRYOPDP brings to the table.
Puneet Souda: Okay, got it. And last one, if I could and then I'll hop back into the queue. I'm wondering if you're expecting any impacts on that [ph] grow this year? Thank you.
Jerrell Shelton: The impact of [indiscernible] will be minimal on an overall revenue. It is an orphan product. So it doesn't have significant volume at this moment in time. The impact of obviously the notice is out there to us. It doesn't look like it's a more of a patient-specific. It's not a therapy specific issue. And so based on what we've heard through conference and others by the CEO of bluebird, they don't anticipate it being a long-term issue in either doing.
Puneet Souda: Okay, thanks.
Operator: The next question comes from Brandon Couillard with Jefferies. Please go ahead.
Brandon Couillard: Hey, thanks. Good afternoon.
Jerrell Shelton: Good afternoon, Brandon.
Brandon Couillard: And Jerry, if you look at those commercial biopharma revenues, they were about flat, I believe in the fourth quarter sequentially. First, how does that compare to your expectation? And then secondly, now that you have five commercial programs there, you started last year with just two. How should we think about growing of this line item in '21?
Jerrell Shelton: Well, Mark, why don't you take that?
Mark Sawicki: Yes. So what we're going to see is, all of these therapies operate in a step-wise fashion. So the early launch obviously of the Novartis and Kite products that initial transition over the last three years, they - in the geographies that they were supporting. They started to hit patient absorption of their manufacturing capacity. So the overall growth rate on those is normalized a bit. With the card is coming online in the middle of last year as well as BREYANZI from BMS, which is a larger volume product. They will have a much larger contribution to growth this year. And so we do anticipate that our overall growth rate as it relates to commercial will pick back up significantly this year versus what it was the end of last year.
Jerrell Shelton: Hey, Brandon, just to correct you, there is six commercial therapies, we're supporting not five now.
Brandon Couillard: Correct.
Jerrell Shelton: So there is the Orchard product out there also that was approved at the end of last year.
Thomas Heinzen: Yes. But I mean the both bluebird and the Orchard products are orphan products, so they're smaller volume. So they won't have as market of an impact, but BREYANZI and the [indiscernible] launch, we will have a bigger impact on obviously top line for commercial.
Brandon Couillard: Okay, thanks for that clarification, Tom. In terms of the new logistics centers, which opened in Japan and Singapore, were those pre-existing PDP locations have a built out liquid nitrogen capabilities there? And you talk about any incremental planned investments in other logistics centers, do you expect to make over the course of '21?
Jerrell Shelton: Brandon, they both are new locations. We relocated our Singapore operation with the CRYOPDP. And then the Osaka, Japan location is a new location. They both of course are outfitted to handle liquid nitrogen in all Cryoport products. And then of course we have two supply chain centers that are being developed in Morris Plains, and in Houston. And we will be developing over this next year, more logistics locations, but it's premature for me to tell you exactly where they are, but we will keep you up to date on those - on that development.
Brandon Couillard: Great. I'll hop back in the queue. Thanks.
Operator: The next question comes from Andrew D'Silva with B. Riley Securities. Please go ahead.
Andrew D'Silva: Hey, good afternoon. I hope everyone's well, and thanks for taking my questions. I also sorry - I'm still going over that 2020 interview doc. But could you just start by just educating me on what support entails for COVID-19 vaccines and therapeutics? So historically with logistics for example manage the entire process and are the larger install logistics provider. How do we think about Cryoport's legacy business, CRYOGENE, CRYOPDP, as it relates to that? And then kind of segment that into two parts particularly interested if the therapeutic or the vaccine are actually a Cell and Gene Therapy. Should we think about that as more of a legacy, were you entire - control the entire process to you?
Jerrell Shelton: Andy, I want to make a few. First of all, this is a good question, and I'll make a few comments, and I'll turn it to Dr. Sawicki. So first off, we are not focused on COVID and on COVID vaccines. Our focus is on Cell and Gene Therapy and within the life sciences. All of our skill sets and capabilities are definitely transferable and could be used in that way. But when you think about vaccines you're thinking about massive distribution and you're thinking about - the manufacturers are thinking about economies in the way they get those things those vaccines out. We're dealing with quite - something that's quite different. We're dealing with irreplaceable Cell and Gene therapies. And our services are not the least expensive on the market. And even though our skill sets are totally transferable. And then the fact of the matter is, we have consulted with a number of states and authorities, including work speed on the project. But we don't expect anything significant coming from COVID, in terms of betting the ranch or betting our future on COVID. That's not our game. Our game is Cell and Gene Therapy. As I said, we do support 26 trials in Cell and Gene Therapy, some of those are therapeutics and some of those are cures. And with that said, Mark, do you have anything to add to that.
Mark Sawicki: Yes. Jerry, so it's actually 29 programs.
Jerrell Shelton: 29, yes.
Mark Sawicki: And largely our support comes out of the opportunistic relationships that we have with our existing client base as well as folks that have come in. And so in many cases they'll ask us to maybe do some sort of storage aspect of drug product from a clinical or vaccine basis, it may be something - some limited distribution requirements for high or challenging distribution lanes, or these things like re-icing, or replenishing dry icing in the field. Like Jerry said, our focus is not on capturing a very low margin, very large volume business line, that's not in our wheelhouse. Our focus is on those ultra high touch requirements and support elements.
Andrew D'Silva: So how about cell and gene therapy, for example, that is also a current therapeutic. I guess that's really where [indiscernible].
Jerrell Shelton: As it was a Cell and Gene Therapy that had a cryogenic - yes, there was a Cell and Gene Therapy that had a cryogenic storage and distribution requirement. The likelihood of us being involved will be much higher. And we are involved with…
Andrew D'Silva: What would you…
Jerrell Shelton: Sorry. So, but it's just not pervasive. And it's not with the ones that have been released, Andy.
Thomas Heinzen: Maybe I can help you out.
Andrew D'Silva: Yes. I know, I obviously understand that.
Thomas Heinzen: This is Tom. Sorry, but the Cell and Gene side is not on the vaccine side, it's on the treatment side trying to keep those folks that have COVID from passing away or staying in the hospital for a lengthy time. So that's where you're seeing the - I'll call the cellular play. The vaccine side is either like the J&J, the traditional vaccine or an mRNA vaccine. But those are in high volume and our cell therapy.
Andrew D'Silva: Okay, useful color. Thank you. And then just looking at the fourth quarter, and then kind of comparing it to consensus in the previous questions, you almost hit $50 [ph] million for the quarter consensus was at $200 million for the year. Historically, the cadence has been as a new year starts and progresses show material growth after fourth quarter of the previous year. Is there any reason to think that should deviate this year, or was there any significant kind of one-time revenue benefits during the fourth quarter of '20, that we should be kind of thinking about as we can wear on new initiatives and build out our revenue for 2021 and 2022?
Jerrell Shelton: Yes. Thanks, Andy. Look, overall I think we were very satisfied with the Q4 revenue results. We had strong growth in revenue for our Cryoport legacy to Cryoport Systems and CRYOGENE. And we had strong results from CRYOPDP and MVE Biological Solutions compared to their revenue historically and also in terms of what our expectations were. So that just first and foremost, especially looking at the first quarter after a transaction is completed. I think it was a very good results. In terms of looking into 2021, the only thing that you should have in mind is, there is a little bit of seasonality in some of the businesses, as we look at MVE there may be some seasonality in terms of the purchasing. But ultimately as we said in terms of revenue growth, we expect revenue growth where we're comfortable with the projections from the analysts. And that's all I can say at this point.
Andrew D'Silva: Okay. Last question just as it relates to commercial revenue. I know that you were talking about this in previous questions. But should we expect most of the growth from commercial revenue in 2021 to come out of established products, primarily KYMRIAH and YESCARTA, or should we expect most of the growth year-over-year from commercial launches that are really just starting like YESCARTA and Bristol-Myers Squibb's products?
Jerrell Shelton: So there's two factors. So factor one is an existing product line is expansion of their global capacity, right. So if you look at Kite/Gilead, they're launching a new facility in Maryland, Frederick, Maryland this year. If you look at Novartis, they are launching a new facility in Stein, Switzerland this year as well as announced manufacturing partnerships in Australia for example. So based on when that capacity comes online, the legacy products should see increasing revenue associated with volume around that capacity increase, you then combine that with the obviously the new product launches BREYANZI being obviously the most evident from a volume-based standpoint that will definitively have an increasing contribution to the overall number.
Andrew D'Silva: Okay, perfect. Thank you very much. Thanks for taking the question. Good luck going forward.
Thomas Heinzen: Thank you.
Jerrell Shelton: Thanks, Andy.
Operator: The next question comes from Richard Baldry with ROTH Capital. Please go ahead.
Richard Baldry: Thanks. If we looked at pro formas of the three separate entities are prior to integration tools, kind of approach called a breakeven zone one and the year was pretty solidly adjusted EBITDA positive. So against that backdrop, can you talk about how much of the current quarter or December quarter profitability sort of inhibited by integration issues? How quickly the company could sort of resurface the level of profitability? And it would have had a sort of three entities or are there some initiatives for spending and growth that kind of should take us backwards a bit first as a combined company before we move forward again? Thanks.
Jerrell Shelton: Hey, Rich, that's a really good question. And I want to make a few comments and then turn it to Robert. As I've said before, we certainly didn't buy these companies for what they had been doing. We bought them for what they will do and what they do for Cryoport and carrying out its mission. Both companies, if you look at that, they were part both companies, both CRYOPDP and MVE were part of very large companies. And as such they were insignificant. And in fact, we know there were not much attention was paid in terms of direction, support, et cetera. And we were able to peel them out, that we were able to get a spin-off now. Within Cryoport, MVE's and CRYOPDP are very important. They're strategic as a matter of fact. And so - and they will play a role in Cryoport, as we march forward in Cell and Gene Therapy and the Cell and Gene Therapy advance. So they're going to be performing differently than they've ever performed in the past. And all of that as Mark said earlier, it takes time, or Robert said that, but it does take time to make these transitions. But we will make those transitions and you'll see all the metrics moving in a positive and upward direction. You'll see the top line growth rate accelerates, you'll see the margins change because they will be participating with Cryoport in a much more important way and markets that they heretofore have either not participated in or participated on a very limited basis. So with that, I'm going to turn it to Robert.
Robert Stefanovich: Yes. And just a clarification, when we say it takes time. This is just life sciences and it is regulated. We are actually moving forward very aggressively. If you look at Q4 and the full year of 2020, we had acquisition and integration costs of roughly $12 million for the year and $4.4 million for the quarter and that includes also a step up in inventory that really only impacted Q4, and will not impact the financials going forward. So you can eliminate some of those additional charges, the intangibles, or if you just look at the adjusted EBITDA alone, you will see that for the year we were around breakeven, but for Q4, we were about $3.9 million in positive EBITDA. So, you already see some of that profile pushing through to the bottom line. I think going forward as Jerry mentioned certainly, there'll be some investments made to make sure the platform is ready for a more aggressive growth profile. But I think we're also very keen on maintaining the high EBITDA contribution, that MVE was able to drive historically and continue with a very similar profile.
Richard Baldry: And then just…
Robert Stefanovich: Yes, go ahead.
Richard Baldry: No, you go ahead, please.
Robert Stefanovich: One thing. On CRYOPDP, you talked about the growth driver being - their focus on Gell and Gene. There to some extent also piggybacking on Cryoport Systems allowing us to offer a broader solution to our existing client base in the Cell and Gene Therapy space. And kind of the higher margins, synergistic revenues that will be bringing in 2021.
Richard Baldry: Maybe just to finish at that point, and is there ways that you'll be able to communicate with investors sort of over the near-term intermediate term about successes you're having, accelerating the two acquired entities or have pulling them into the Cell and Gene therapy space. So that while we look at a blended growth rate that will come down just mathematically, we can start to understand the successes you've had integrating the two, or will it be pretty difficult to sort of break away any key metrics that kind of help us along that path? Thanks.
Jerrell Shelton: Rich, you'll see that in the - certainly in our overall results, but the way we manage the business, it won't blend itself to just going after individual components of the business. There is a family of companies. We do operate and we do have metrics and so forth. But we're also careful and mindful of the environment that we're working in. So we will keep that in mind. We'll do what we can do to help you understand that in the future, but I'm not sure exactly what those measures to be. Robert, do you have anything to add with that.
Robert Stefanovich: No. I think we understand that investors want to understand how the acquisitions are progressing and what impact they have on Cryoport consolidated. So we'll certainly look at indicators and means to be able to drive that theme as well. Especially in the early stages, post-acquisition, we do want to make sure that investors understand the value that these acquisitions bring to Cryoport, and then so we'll look at indicators that will provide that information.
Richard Baldry: Thanks.
Jerrell Shelton: Thank you.
Operator: The next question comes from David Saxon with Needham. Please go ahead.
David Saxon: Yes, good afternoon, and thanks for taking the questions. My first is just on the margin profile of the combined business. You've talked about expecting to see a dip in the gross margin, and we obviously saw that this quarter. But you have the expectation of getting to your longer-term goal of 60%? So first, I guess, can you just help us think through that the cadence to that 60%. And then on the operating margin you're targeting 20 million in cost synergies from the CRYOPDP acquisition. So should we think about that as a linear path over the next, call it five years or so. And then in 2021 specifically consensus I think around a low to mid-single-digit operating margin. So is that something that's reasonable in your view?
Robert Stefanovich: Yes, number of questions there. I appreciate it. Look, I think in terms of the gross margins you already framed it correctly, we did expect a combined lower margin because of the different profiles that each of the companies bring to the table and we'll seek to driving that up. It will happen over time that is not something that's going to happen within the next few quarters, but certainly you'll be able to see some margin improvements based on our client base as well as the overall value of a solution that we're bringing to market. I think that's probably on the margins as much as I can say at this point in time.
Jerrell Shelton: I think there's one other thing, which has in there, Robert, also that we've identified, David $100 million of synergies over five years. While those synergies will not be linear, I mean there is nothing in this business of the life sciences is linear, but we are on a pathway to achieving that already just in one quarter and things are moving in that direction. So we will achieve that over the next five years that $100 million of synergy. And you will also see, CRYOPDP moving more into the Cell and Gene Therapy space as they benefit from being a part of Cryoport Inc. And you will see some of the same thing happening in an MVE. So, again as to Robert's point everything in this business has to be validated. So let's just say that CRYOPDP is working with Cryoport systems on a particular project. It still has to be validated, just because it's working with Cryoport systems, doesn't mean it's going to be instant. So it has to be validated. And so all of that takes time. It's just a requirement in the life sciences for surety and we're making sure that efficacy is delivered and conditions are controlled, if that makes sense.
Robert Stefanovich: Maybe, and then, just add to that in terms of that Line of thought what. What does create though is, since Cryoport Systems are an example is in the credit client partner, we can bring Cryoport CRYOPDP into our client base quicker than we otherwise could. And then because life sciences is regulated once you're in, it's a very strong relationship and strong retention as we've shown in the past with our current client base.
David Saxon: Got it, that's helpful. And any comment on consensus being a low to mid-single-digit operating margin?
Jerrell Shelton: Again, I think we're assessing kind of our path forward. From my perspective without giving guidance, we are certainly expecting the margins to improve. And overall, again we're comfortable with the analysts as a whole.
David Saxon: Okay, got it. And then…
Jerrell Shelton: David, one other thing though you really should look at us as market leaders and continuing to be market leaders. So our number one initiative is all around market share and being an anticipating market needs just enough that we were always the leader in the market. So look at market share, for not raising. We will be profitable, but we're not raising to profitability, where we could be profitable instantly at any time, but it's all about market share and keeping up with the growth and opportunities in the marketplace.
David Saxon: Got it. That's helpful. And then when you bought MVE, I think you said about 70% of their sales were through distributors. So can you talk about any plans about converting that to more of a direct sales channel? And if that is the case, how much of the margin benefit that would have or price?
Jerrell Shelton: I don't have plans - we don't have plans to convert the distributor network into a direct sales force. I mean that distributor system is extensive. It's an extensive and sensitive nerve network for the company. We will enhance it, but we will not replace it.
David Saxon: Okay, very clear. And sorry if I missed this in the document posted, but can you just talk about the outlook for Cryoport for BLA and MAA filings for 2021 and potential caring for approvals? Thanks so much.
Jerrell Shelton: Yes, so as we had mentioned by currently sitting at six approved therapies that were supporting. We anticipate upwards of another potentially '21 filings in 2021, and we had a total of seven that were filed in the second half of last year, all of last year, sorry, yes.
David Saxon: Great, thank you.
Jerrell Shelton: So the cadence is definitely starting to pick up.
Operator: The next question comes from Jacob Johnson with Stephens. Please go ahead.
Jacob Johnson: Hey, thanks for taking the questions. Maybe first question on MVE, if I'm not mistaken. I think there were some new products coming from them. Can you just remind me what these were? When they will launch and maybe how much they could add to growth at MVE?
Jerrell Shelton: Well, the new products that you're referring to is the barrier - the barriers of multiple temperature freezer it can from minus 20 all the way down to minus 1.96. And the second product, you were talking about is fusion. And fusion is a self-sustaining liquid nitrogen powered freezer that never has to be refilled or replenish with liquid nitrogen. And we have another size of that coming out, very shortly. And we haven't disclosed the impact of either of those on our revenue, yet.
Jacob Johnson: Okay. Got it. And then, Jerry, you've got, I think something north of 300 million of cash you are acquisitive last year, should we expect M&A, in 2021 and maybe, if so, could you just remind us of your M&A criteria any capabilities, you'd like to add.
Jerrell Shelton: Well, what you should expect is that we continue to carry out our mission. We established our mission, six years ago, our strategy, six years ago, and we continue to carry that out and that's what you should expect. And so that will be a combination of robust organic growth and acquisitions if they are available. It takes a seller and a bar. And so we can always map out when acquisitions will be available. We do have a robust pipeline of acquisition candidates. And we are discussing relationships with people all the time, but that can go all the way from customer to strategic partnership to acquisition. So that's about as much as I can tell you about that. That kind of acquisition that we are looking for is both in the vertical and the horizontal. So we'll look at adjacent spaces to packaging and logistics expertise and software or informatics. And we'll look at those in more depth. We'll look at tactical acquisitions that could make sense to us and as well as strategic acquisitions. What we want them to be well run, we want them to be accretive and we want it to be a situation where management wants to stay on with the companies and continue to propel the company's that hopefully are already on a growth profile. So we are looking for healthy accretive companies to add to our portfolio when they meet our requirements for carrying out our strategy.
Jacob Johnson: Got it. I'll leave it there. Thanks for taking the questions.
Operator: The next question comes from Mike Gokey with KeyBanc Capital Markets. Please go ahead.
Mike Gokey: Good afternoon, guys. Thanks for the time today. Starting off with Mark, with the '21 filings expected this year, looking at the company less than, it seems like there is a fair amount of companies without a currently approved product on the market. So how many commercial, new commercial therapies do you expect to support versus kind of market expansion of your currently supported products?
Jerrell Shelton: That's difficult to absolutely ascertain like you said, I mean a lot of these companies in this space don't have a historical track record of product approvals. However, that's offset by the FDA being a little bit more inclined to move forward with these types of projects and programs based on the nature and the criticality of the need in this space. From our perspective, we anticipate multiple additional approvals. But I can't really speculate beyond that for you, because it's obviously we don't control the FDA and we don't control those specific entities as we can do is ensure that we're fully prepared to support any filing and commercialization activities that they engage on their behalf.
Robert Stefanovich: Mike, I'd probably also add, I wouldn't be surprised if some of them got absorbed by larger pharma or biopharma.
Mike Gokey: Very helpful. And then, Jerry or just maybe one or two, but talking to the new ship launching. I think that will be more targeted to gene therapies in the minus ADC range. So can you kind of just talk to the uptake of that and is it targeted towards more your existing clients who are going to shift over from the lower while restored temperatures or is it kind of new customer acquisition there? Thanks.
Jerrell Shelton: Well, it's kind of interesting that the product was actually designed and developed in conjunction with where it was one of our clients, who helped and who is specifically in the gene therapy space and took a look at the market and felt that there is nothing sufficient on the market to be able to support their activity on a very aggressive portfolio from a roll-out basis. And so we work with them jointly on the developmental aspects. The product itself will be significant and differentiating into the market space and is designed to support actively both viral vector distribution as well as gene therapy clinical and commercial distribution.
Mike Gokey: Great. Thanks for the time guys.
Jerrell Shelton: Thank you.
Operator: Our next question comes again from Puneet Souda with SVB Leerink. Please go ahead.
Puneet Souda: Hey, guys. Just thanks for taking multiple questions, so that I appreciate that you answered a number of them. And obviously a number of efforts underway on your new product launches and temperature ranges. What I think I wasn't clear on is the split of MVE into animal health and MBE separately. So you did almost 7 million in the Animal Health and Robert please correct me if I'm wrong on that, just wanted to get a quick follow-up from you on how sustainable is that animal health business. I mean this is sizable business now and given the potentially competitive nature and the lower margin nature of it, how sustainable is this business under MVE longer term. Thank you.
Jerrell Shelton: Well, Puneet, this is exactly where MVE started this business is in animal husbandry. It's a highly sustainable part of the business. It's been this way for something like 50 years. So it's - we are very confident and comfortable that part of the business. We dominate that, that part of the business are having an extremely high share of that market. So we're comfortable with it.
Robert Stefanovich: Yes. And just to add, I think the animal health space is one area where you will see synergy activity between Cryoport Systems and MVE over time based on the nature of both relationship to that market.
Puneet Souda: Okay. Thank you, guys.
Jerrell Shelton: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Jerry Shelton for any closing remarks.
Jerrell Shelton: Thank you very much, operator. And I thank all of you for your questions. It was a terrific dialog, and we appreciate them. We've been or 2021 in the strongest position we've ever been in, with an unrivaled leadership position in animal health, reproductive medicine and especially biopharma pharma markets. As a result of our nGenius team of people, investments and expanded footprint, we have a very broad reach within the industry and are dedicated to continuously scaling our business with focus and purpose. I'm confident that we have the unique capabilities competitive moat needed to extend our support and commercial regenerative medicine therapies around the globe as those anticipated there come to market. To further advance our leadership position within the industry, we are continuing to invest in enhancing our platform are developing best-in-class, highly differentiated and specialized solutions that are redefining the temperature control supply chain for the life sciences industry and providing the best services possible to our clients. Overall, we are delighted with the way the company performed in 2020 with 36% organic growth in the fourth quarter and 26% for the full year. We delivered robust growth and we continue to see increasing traction in the regenerative medicine industry as we close the year supporting a total of 528 trials and six commercial therapy agreements. Strategically, our two acquisitions, position us well for excellent growth in 2021. With robust indications across the life sciences, we anticipate that 2021 will be another excellent year for our company. We want to thank you for joining us today until the next meeting call, we bid you a good evening.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.